Operator: Good afternoon, and thank you for waiting. We would like to welcome everyone to Ambev's 2025 Third Quarter Results Conference Call. Today with us, we have Mr. Carlos Lisboa, Ambev's CEO; and Mr. Guilherme Fleury, CFO and Investor Relations Officer. As a reminder, this conference presentation is available for download on our website, ir.ambev.com.br as well as through the webcast link. We would like to inform that this event is being recorded. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Ambev's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Ambev and could cause results to differ materially from those expressed in such forward-looking statements. I would also like to remind everyone that, as usual, the percentage changes that will be discussed during today's call are both organic and normalized in nature, and unless otherwise stated, percentage changes refer to comparisons with third Q '24 results. Normalized figures refer to performance measures before exceptional items, which are either income or expenses that do not occur regularly as part of Ambev's normal activities. As normalized figures are non-GAAP measures, the company discloses the consolidated profit, EPS, operating profit and EBITDA on a fully reported basis in the earnings release. Now I will turn the conference over to Mr. Carlos Lisboa. Mr. Lisboa, you may begin your conference.
Carlos Eduardo Lisboa: Good afternoon, everyone. It is a pleasure to be here with you again, and thank you for joining our call today. We closed the second quarter, making important decisions to position ourselves well for the remainder of the year. Reflecting on the third quarter, these choices were even more relevant as industry volumes remain softer than expected, mainly in Brazil. This quarter reflects the results of our choices. Our brands continue healthy with most of our top 10 markets maintaining or improving brand equity, particularly in Brazil. Net revenue grew, supported by resilient net revenue per hectoliter growth, up 7%. Top line performance combined with cost initiatives drove EBITDA growth of 3% with 50 basis points of margin expansion, while normalized EPS grew 8%. Looking at the film rather than the photo, in a year-to-date perspective, we are positive about the decisions we have made and the resilience of our business. Supported by the strength of our brands and our solid market share, top line grew 4%, driven by a healthy net revenue per hectoliter of 7%, which led to EBITDA growth of over 7% with 120 basis points of margin expansion. Cost initiatives continue to make a difference with cash COGS per hectoliter growing below net revenue per hectoliter and normalized EPS grew above 7%. Following our capital allocation strategy and confident on our long-term value creation potential, on October 29, the Board of Directors approved a BRL 2.5 billion share buyback program with the main purpose of canceling shares as a way to return cash to shareholders. Behind these results line the foundations of our growth strategy. Starting with Pillar #1, lead and grow the category. To be a true category captain, we must place our customers and consumers at the center of our decision-making process, being able to better understand and serve the demand, a capability that becomes even more important when the operating environment turns more dynamic, allowing us to: Number one, lead the beer category. Our core brands remain resilient even though volumes declined given its higher sensitivity to industry environment. Our premium and super premium brands strengthened and continue to grow in volumes more than 9%; and number two, shape new avenues of growth. The Balanced Choices portfolio grew 36%, including non-alcohol beers growing above 20%, continued to expand ahead of the company's volume. As leaders, we continue to develop the category, aiming not only to sell more, but to expand the consumer base and the number of occasions over the long term, ultimately creating sustainable value. As for Pillar 2, digitize and monetize the ecosystem. This pillar continues to be instrumental to our business. It provides valuable insights into our consumers, customers and operations while expanding our addressable market. The third quarter marked another solid step towards making our digital ecosystem a competitive advantage for our company. When it comes to new growth engines, BEES Marketplace maintained its strong momentum with GMV growing 100% to an annualized BRL 8 billion, driven by the expansion of our commercial partnerships. Meanwhile, on the direct-to-consumer front, Zé Delivery recorded a 7% increase in GMV even amid a softer industry, supported by a 9% rise in average order value. In revenue management, BEES continues to enable a more assertive and data-driven decisions. With a more granular view of elasticity by brand, pack and customer, we can optimize our discounts and promotions to improve the return on every real invested. For example, this quarter in Brazil, we increased the number of SKUs per pack in 5% and improved by 30% the return on promotions. And in cost and expenses management, BEES also played a key role in the SKU optimization program we mentioned last quarter. It helped us expand the distribution of our main SKUs, improving production efficiency while ensuring that our customers continue to find the right portfolio for their businesses. In summary, the combined impact of the revenue and cost management led to an expansion of our gross margin in the quarter. Speaking of cost performance, let's move into Pillar #3, optimize our business. This year, we have been emphasizing our disciplined approach to costs, and this quarter clearly shows why it matters. While we expected costs to continue to accelerate, driven by FX, commodities and the operational deleverage from lower volumes, our efficiency efforts paid off. We managed to keep costs mostly in line with previous quarter, freeing up resources to continue investing in the long-term growth of our business. Looking ahead, there is still work to be done as we pursue the lower half of our Brazil beer cash COGS per hectoliter guidance, which will support our ambition of protecting consolidated EBITDA margins in the full year. Speaking of margins, our disciplined approach to revenue, cost and expense management once again delivered results. Four of our business units expanded EBITDA margins, and all of them delivered growing or flat EBITDA consistent with the last 2 quarters. Now let's turn to the commercial highlights from our main markets. Starting with Brazil beer. This was the second consecutive quarter of industry softness. It is understandable that this can raise some concerns about the category's prospects. So before we go into our business performance, I would like to take a moment to share a few insights into what we see as situational factors, meaning either short term or cyclical and structural factors that may impact the industry over time. Over the past 2 quarters, the beer category equity has improved, which is a good proxy for future share of throat, while consumers' participation in beer remains stable. This reinforces our view that there are no meaningful short-term structural changes in consumer behavior toward the category. The industry's decline was mostly related to fewer consumption occasions, particularly in the on-trade channel, which was affected by 2 main factors: Number one, weather. The past 6 months were colder than normal, especially in the South and Southeast off a tough comp as 2023 and 2024 were the 2 warmest winters on record. This impact, according to our estimates, represents approximately 70% of the industry decline. And number two, consumer purchasing power. The macro environment, particularly in the North and Northeast, continued to constrain discretionary spending. These are situational drivers for the short-term or cyclical nature, underpinning our confidence in the long-term fundamentals of both the category and our portfolio. That said, let me share 3 potential trends and needs that can turn into structural drivers. Number one, the beer category in Brazil has evolved. We value it, and we will be part of it. However, easy-to-drink beers are still the preferred choice of Brazilians. Number two, certain groups of consumers prefer sweeter beverage. And number three, more consumers are seeking a balanced lifestyle. As a consequence and not by coincidence, we have been working to address these trends and needs. Our portfolio of brands spans a wide range of liquid profiles. Our easy-to-drink brands are relevant in all price segments and the brands that are growing the most in our portfolio address such need. We already lead the ready-to-drink space with products such as Beats and Brutal Fruit, which cater directly to the sweet-seeking consumers. Additionally, we are launching Flying Fish, a successful international brand with the aim of developing the flavored beer segment in Brazil. This segment has been growing globally, reaching over 3% mix of the beer industry in several countries. And for balanced lifestyle seekers, our non-alcohol portfolio, together with Stella Pure Gold and Michelob Ultra has a strong appeal, offering moderation alternative without giving up the great beer experience. In summary, while we read the current industry headwinds as situational, our strong portfolio and innovation agenda ensure we remain well positioned to capture future growth and keep shaping the beer category. Now let's move to our performance in Brazil beer. Over 100% of the volume decline is explained by the industry performance. Our brands once again improving equity, gaining low single-digit sellout market share according to Nielsen, while expanded net revenue per hectoliter. The market share gains came across all relevant segments. In the core segment, volume declined by low teens, reflecting the overall industry context. However, the market share progressed versus last year as relative price improved through the quarter. Premium and super premium brands once again stood out, growing mid-teens and gaining sellout market share, reaching close to 50%. After 6 years of consistent recovery, we achieved the highest share level since 2015 according to our estimates. This performance was driven by Original, Stella family and Corona, the latter 2 at the top end of the price index. And our balanced choice portfolio maintained strong momentum, growing mid-60s. Stella Pure Gold more than doubled its volumes. Michelob Ultra grew over 80%, and our non-alcohol beer portfolio expanded by low 20s, further strengthening our leadership in the segment. Moving to Brazil NAB, throughout 2025, the CSD industry has experienced a deceleration from up low single digit in Q1, to down mid-single digit in Q3 according to Nielsen, driven by similar situational factors that impacted the beer industry. In addition, our revenue management decisions last quarter led to an inventory phasing into this quarter, impacting sell-in performance. In this context, our brands continue to strengthen and our market share grew year-to-date and was stable to low single digit down in the quarter according to our estimates with a net revenue per hectoliter above inflation. Our nonsugar portfolio once again delivered double-digit growth and now accounts for more than 25% of total NAB volumes. In Argentina, the consumption environment remained challenging. Our beer volumes declined mid-single digit, underperforming the industry, reflecting an unfavorable temporary price relativity dynamics. However, brand equity remained stable, supported by the strength of our mega brands. Furthermore, we remain constructive on the long-term prospects for both the country and the beer category. In the Dominican Republic, the operating environment and beer share of throat continued to improve sequentially, supported by a healthier price relativity across categories. Presidente brand, the cornerstone of the category, strengthened its equity once again, reinforcing its leadership and cultural connection with consumers in the country. Finally, in Canada, the beer industry declined by mid-single digit in the quarter. We estimate that we outperformed the industry in both beer and beyond beer. The Ontario market continued to progress, supported by the route-to-market expansion implemented last year. Our beer performance was led by Michelob Ultra, Busch and Corona, which we estimate were among the top 5 volume share gainers in the industry. Now let me hand over to Fleury, who will walk you through our financial performance in more detail.
Guilherme Fleury de Figueiredo Parolari: Thank you, Lisboa, and hello, everyone. Today, I would like to walk you through our financial performance highlights using our capital allocation framework. Starting with our priority #1, to invest in our business. Here, our focus is to allocate capital efficiently and maximize return on investments. One way we do that is by driving efficiencies across our cost and expenses baselines, freeing up resources to continue to invest behind our business and our brands, strengthening the connection with our consumers. Building on that, in quarter 3, our disciplined cost management allowed us to quickly adapt our brewing processes to a more challenging operating environment and deliver strong productivity with tighter process controls and lower conversion costs, mainly in our vertical operations. As a result, we expanded EBITDA margin in most of our business units once again. Now moving to net income. Our normalized net income reached BRL 3.8 billion, up 7% year-over-year, mainly driven by a lower effective tax rate, which more than offset higher financial expenses. Our stated net income reached BRL 4.9 billion, up 36% versus last year, reflecting one-off effects I will detail in a moment. In this quarter, our net financial expenses closed at BRL 1.1 billion, about BRL 400 million higher than last year, mostly due to 2 factors we already addressed in quarter 2. One, a higher FX hedging carry costs in Brazil due to interest rate gap between Brazil and the U.S. And two, the cost of sourcing U.S. dollars in Bolivia. On income tax, our effective tax rate in quarter 3 was 6.7% compared with 23.6% a year ago. The decline reflects mostly 3 one-offs, which totaled BRL 630 million and didn't have a relevant cash tax impact in the quarter. Excluding them, our effective tax rate would have been around 20%, consistent with recent levels. Let me go over them. One, following a change in legislation, we recognized a partial reversal of previously recorded tax liabilities associated with the 2017 amnesty program as detailed in Note 8.2 to our Q3 financial statements. Number two, fiscal incentives recognition. And number three, the Barbados divestment that generated a gain of BRL 884 million, where part of it was nontaxable in Dominican Republic. The sale of Barbados is a tangible example of our second capital allocation priority at work, evaluate inorganic opportunities. Here, we completed the first steps of the transaction, transferring control to KOSCAB, a long-term partner in the Caribbean. The transaction simplifies our structure and keeps our brands in the region. Further details are disclosed in Note 1 to our financial statements. Lastly, regarding our third priority, return cash to shareholders over time. As we approach the end of the year, I remain confident on the consistent cash generation of our business. Cash flow from operating activities remained solid, totaling BRL 6.9 billion despite softer volumes and higher cash taxes this quarter. Versus 2024, our cash flow from operating activities is down BRL 1.2 billion, mainly due to a slower monetization pace of existing income tax credits in Brazil. These credits will continue to be used over time, aligned with our tax strategy and are detailed in Note 7 to our Q3 financial statements. Lastly, during the year, we already announced a total dividend of BRL 6 billion. Also, as Lisboa mentioned, we are starting a new BRL 2.5 billion buyback program after the completion of the previous one in June. Both the dividend distribution and the share buyback program reinforce our confidence in our business and our commitment to returning cash to shareholders over time. With that, let me hand it back to you, Lisboa.
Carlos Eduardo Lisboa: Thank you, Fleury. As we start the fourth quarter, I believe that we are well positioned to close the year on solid footing and to start 2026 with strong momentum. We are also excited for the FIFA World Cup next year, a great opportunity to connect again 2 of the greatest passions in Latin America, beer and soccer. To close, I want to thank our team for their resilience, especially in moments like this. Our grit and focus on what we can control are inspiring and give me even more confidence that we are becoming a better version of ourselves. Thank you for your attention, and I will now hand it back to the operator for the Q&A.
Operator: [Operator Instructions] Our first question comes from Lucas Ferreira with JPMorgan.
Lucas Ferreira: My question is on the COGS line. I think that was one of the positive surprises we had with the results, especially in a quarter where production probably was softer, right? I was expecting some sort of effect of a lower fixed cost dilution, but COGS came better than expected. So if you guys can explore that in a bit more details why the COGS were lower specifically this quarter? Does it have to do with the hedging strategy, some sort of a calendarization of that hedge effect or -- but also on the initiatives for reducing your cost base, if you can get into this? And then since you're reiterating the guidance, what would imply for the fourth quarter like sort of big acceleration of the cost per hectoliter, if this acceleration is also has to do with sort of the hedging calendarization or if there is anything else that we have to be aware of?
Guilherme Fleury de Figueiredo Parolari: Lucas, it's Fleury here. Can you hear me well? So Lucas, let me just start by saying that, as you probably remember, I think Ambev has been known for its very strict discipline and action-driven organization. And I think that comes on over time. Working in emerging markets, we developed a capacity of navigating volatility while delivering results. Why I'm starting with that is because if you go back one step in Q2, I mentioned to you guys that most of the benefit that we were having in our COGS was related to the SKU rationalization and what we control. On Q3, it's not different from that. It comes from a series of initiatives on what we can control. That goes from production costs, to breweries footprint and production and also utilizing our vertical operations in which we normally have better costs. So in essence, I think this is what the company does well. It's really focused on what we control, a series of initiatives. And I might frustrate you, there's no one single one, but there's a collection of initiatives that has been working through the organization with PMOs, of course, with Lisboa and myself with several areas. So that's how we were able to achieve, I would say, a positive cash COGS increase compared to what we have said before. Now moving to guidance. I think Lisboa made it very clear on his initial speech, but I will reinforce. The guidance is the guidance. We are not changing our guidance for Brazil beer cash COGS per hectoliter, excluding marketplace. What is important to highlight is now with what we know, we will continue to work very hard to deliver the guidance within the first half of the range, if I may say, 5.5% to 7%, which is our ambition. And by doing that, together with our continued disciplined revenue management, I believe we could potentially look into the expansion of margins over time.
Operator: Our next question comes from Henrique Brustolin, with Bradesco.
Henrique Brustolin: I wanted to explore a little bit more the beer industry environment in Brazil. Very interesting, the comment you made, Lisboa, in terms of the weather representing the 70% of the decline and the remainder, the weaker consumer. I would like to hear a little bit more how you see this trend shaping up into Q4, especially if you could comment on the consumer part of this equation. And also, given that the headwinds were apparently different, right, in the North, Northeast than to the South, Southeast, if you also saw any big difference in terms of the volume performance across these 2 regions or even how the portfolio performed within the different categories? These would be my questions.
Carlos Eduardo Lisboa: Henrique, nice talk to you. Thank you for the question. Let me highlight a few points here to clarify some of your doubts, right? First and foremost, everything that we see somehow is very aligned with what we flagged in our second quarter result announcement, right? So -- but having said that, during the quarter, we saw the most important driver, situational driver, which was the weather gaining even more relevance, right, since the winter time pretty much took the entire quarter, right, different from what happened in quarter 2 when mostly impacted June, right? So I think the most important point to have in mind is the following. The underlying consumer engagement, which we measure based on participation and category equity remains very solid, right? And the decline was pretty much connected to a reduce in number of occasions, right? And the reason why for that is exactly the 2 situational factors that I flagged in the beginning of the conversation in the session, right? South and Southeast, pretty much the reasons where we see accounting for majority of the volume in Brazil, pretty much 60%, impacted by colder and rainy conditions compared to a drier, right, and hotter conditions last year, right? And the North and Northeast, the other impact, right, which is connected to disposable income constraints, which, by the way, also impacted the first quarter. This was not necessarily a surprise for us. We have been measuring that since the beginning of this year, right? So it's interesting to see that especially the weather, but also the disposable income constraint impacted mostly something that we also highlight during the second quarter announcement, the out-of-home occasion, which is very relevant for beer in Brazil, right? In other words, impacting particularly bars and restaurants, right? So now moving towards your question about what's coming, right, more. So -- when we reflect about the situational end, right, which is weather and income, the weather remains in October, still a concern for us, Henrique, because we haven't seen any meaningful change. On the other hand, on the structural end, we also see a continuation of a good momentum our brands presented in Q3, right, which is what gives us confidence that we are well positioned for the quarter to come -- the last quarter to come this year, which will give us a pretty nice carryover into next year, which was the part of what we -- sorry, that we had a technical issue, but I was highlighting that we feel good and optimistic about the year to come because we're going to have the chance to jump into a year when we won't probably see that much of a hard comp impact coming from the weather, which was the most important detractor, right, situational detractor for us this year, combined with the chance to put together -- unite 2 amazing passions for Latin Americans, which are beer and soccer with the World Cup. And on top of that, as I mentioned before, this year, when we reflect about participation and occasions, occasions were more impacted by the 2 situational factors. And next year, we're going to have the chance to explore more occasions since the World Cup time will match exactly with the hardest period for us in the year. And on top of that, especially in Brazil, we're going to have a pretty interesting number of holidays that will help us create new consumption occasions for us.
Operator: Our next question comes from Nadine Sarwat with Bernstein.
Nadine Sarwat: Great to see your commentary about Ambev reaching nearly 50% share of Brazil premium and super premium beer for the first time in a decade, and I appreciate the comments that you made in your prepared remarks. With that benefit of hindsight now of the 6 years of seeing that improvement that you called out, can you comment on which initiatives you feel have been the most successful in getting you and your brands to this point in that segment? And what are your aspirations for your share of that segment over the coming quarters and years.
Carlos Eduardo Lisboa: Nadine, thank you for your question. Very interesting. As you said, was a true V curve for us since 2015 until today, right? And just to emphasize what you said, in the last 6 years, we gained 14 points of market share, consistent every single year. And that came mostly as a consequence of our ambition, Nadine, of being a true category captain, right? A captain that will bring to our consumers, not only in Brazil, but across the board in all markets. But since your question is about Brazil, but especially in Brazil, more and more alternatives to enjoy beer in different occasions. And by doing so, expanding our portfolio, we also have a chance to bring more consumers to our portfolio, right? So if I have to answer your question with just one point, that would be my answer, right? Because we are here to build a portfolio strong enough to make our category even more appealing to our consumers. And by the way, beer in Brazil has one of the strongest equities across all markets globally, okay. And the point about the portfolio that I also like the most is the following. We know that as consumers graduate and as we bring new consumers to the category, they want to have optionalities, right? They want to attend different needs in different occasions. And that's exactly when the portfolio makes a difference, right? And today, we have a pretty interesting portfolio with complementary roles to play this mission, right, from Original to Spaten, right, in the first layer of the premium. And then to Corona and Stella family in the latter part of the pricing index with different emotional and functional benefits. And the interesting piece of that is since they are complementary, they are bringing incrementality for us instead of only cannibalization, right? And this is the, in my point of view, the magic around what we are doing here. And it's very interesting because the same way we are building premium, now we are building a new growth engine that we call balance. And the balance piece is also gaining a lot of acceleration. And on top of that, something that I'm not sure was that clear for you all, we are building a new growth engine beyond beer. And that beyond beer business during the last 3 years had been growing double digits, and we have been growing ahead of industry. And today, we are also the leaders as we are the leaders in beyond, as we are the leaders in premium, right? So in essence, we are leading where growth is and where growth will be in the future.
Operator: Our next question comes from Thiago Duarte with BTG.
Thiago Duarte: My question is, I'm trying to get a sense of the sustainability of the SG&A reduction that we saw not only this quarter, but I think throughout the year, although it might have been stronger this quarter. In the release, you mentioned the variable compensation accrual changes. You also mentioned the phasing in marketing expenses in CAC. So my question is, of the 0.4% consolidated organic reduction year-over-year in SG&A in the quarter, how much would you say is related to this phasing of marketing and bonus accruals? And how much you believe it's more of a sustainable gain in efficiency that you saw in expenses. Then if I may, a quick second question related to pricing in Brazil, Beer Brazil. So I think that's more to you, Lisboa. Looking at the volume performance of the last 2 quarters, how surprised are you of the demand reaction to the price hike that you guys implemented ahead of the second quarter? And how that potentially affects the implementation of pricing that you normally do historically in Q4 of every year? Those would be my questions.
Guilherme Fleury de Figueiredo Parolari: Lisboa, do want me to start?
Carlos Eduardo Lisboa: Yes.
Guilherme Fleury de Figueiredo Parolari: So Thiago, thank you very much for your question. Let me start more broadly, then I'll go into the details. If you look into our consolidated income statement, but that applies to most of the markets in which you operate, what we've been doing is we continue -- despite the impact that we had in volume, we continue to invest in sales and marketing as a percentage of net revenue, slightly increased quarter-over-quarter, and that is the investment that we're very careful of maintaining. Why? Talking about sustainability, is that is the one that connects our brands with our consumers, and that's how we connect with our flywheel on value creation. Specifically, what happened throughout the year is like we've been, I would say, managing well distribution costs even with lower volumes. So we were able to have a better absorption of fixed costs even with declining volume. And on administrative expenses, I think here, it connects a lot with the way we compensate our executives and our employees. If you remember, Ambev is very well known for having a part of the compensation, which is variable, which is important for us, and it's very connected with the performance of the year. If I were to summarize, there are 3 parts. One is the base salary. The other one is the variable compensation, and we also have long-term incentive plans that are discretionary and distribute in order to make for the variance in value creation over time. This long-term incentive is normally share related. So the employees and executives receive with a tenure of 3 years with that. Specifically this year, when I'm talking about variable compensation, this connects a lot with our company, which is in a difficult year, even though we've been working very hard on the levers that we can control, and we are delivering still like margin expansion, so on and so forth. It's also we've been going through a difficult time that is not structured. As Lisboa said, it's conjuncture that affects the volume. Therefore, the variable compensation of our teams were aligned with that. And with what we know today, what we have done was an adjustment on the accrual that we've made throughout the year. So to summarize, we are continuing to invest on what is very important, which is sales and marketing. Our focus and discipline is also helping on the distribution and on the admin that is very connected with how we see the performance of our company with this adjustment on the variable compensation for the year. Now I'll turn to Lisboa.
Carlos Eduardo Lisboa: Thiago. Let me touch on the second part. I think the most important message for you is the following. According to our modeling, industry modeling, our price increase has no impact whatsoever on the industry performance this year due to the fact that prices for the industry, for beer, they are still below inflation. What brings somehow a small impact, very small compared to the situational factors that I flagged before is the mix piece because it continues to grow way ahead of volume average growth with a higher price level. But in the end, consumers always have a chance to choose brands without such a higher price to consumer, right? And that's the benefit of having, again, a strong portfolio of brands. and that's exactly what we hold here in Brazil, right? Not only strong core brands with different competitive situations by region, which differ a lot, by the way, in Brazil. Brazil is a continent, right? And on top of that, we have the premium portfolio that also give us optionality to play around and it's very interesting because we are gaining new capabilities with our digital ecosystem, right? And BEES -- within BEES, we have an AI-powered revenue management. In other words, we can personalize promotions to boost sales, optimize discounts and increase ROI simultaneously, right? In the end, just to finalize the point and somehow addressing the final piece of your question in terms of ambition, our ambition is always to keep our prices in line with inflation because we know the pricing component is a very important accessibility for consumers in Brazil, right? And a good part of our consumers come from middle, low pyramid of the population. So it's important for us to always keep control in order to allow them to stay connected to the category.
Operator: Next question from Isabella Simonato with Bank of America.
Isabella Simonato: I would like to follow up on your last answer, right, about price and volume correlation. I mean, I understand that beer inflation is pretty much in line with general inflation in Brazil. But my guess is that the timing of the price increase, right, that you guys did in June, and that was followed by the competition in the middle of a bad weather season, right? I mean, how much could that have exacerbated or created a different elasticity, right, to that price increase in the moment that it was done? I think -- that's my question. And a little bit similar to what we saw on NAB, right? Because I think it was really surprising to see volumes coming down by that much, especially when we look at the competition, right, volumes move up in the quarter. So I believe you lost share, but more to understand the pricing strategy for this quarter, which unlike peers, is well above inflation, right, and to understand how you're guys seeing the volume reaction on that segment as well? And if I may, a second question on LAS. I think we saw a big -- pretty important pickup on margins. Just if you could elaborate a little bit on the drivers of that, even though volumes in Argentina were not that strong, I think, will be clarifying.
Carlos Eduardo Lisboa: Isabella. Look, as you said, beer CPI in line with overall CPI, no change there, right? According to our models, no different elasticity despite -- or caused by the unfavorable weather, right? So in our point of view, the timing of our price increase was very interesting, came at the right moment for us to avoid any kind of distraction vis-a-vis what we flagged for you all in the beginning of this year in terms of ambition for us, right? We said we want to protect and evolve with the profitability of the industry. We want to keep a very tight control and disciplined cost expenses because in the end, we want to bring growth with profitability. That's what we said, and we continue very focused behind that. On the situational side, meaning weather and disposable income, both categories, both industries, right, beer and soft drinks, were somehow impacted, right? But always keep in mind that for beer, the impact is harder because it is impacting mostly the most important occasion for the category, which is out-of-home, right? And you all know what I'm saying here, right? But pay attention to the following. The point about -- I think it's a little bit tricky to compare both businesses, right? We took the price increase for beer in the second quarter of this year. During the third quarter, we saw the relativity change, right, gap shortening, and that gave us the chance to put our share back on track. In fact, we see the balance between share and relative price even in a better position today than before than last year, which is very interesting for us, right? On the contrary, actually, what happened with soft drinks, we increased -- we had our revenue management agenda impacting mostly the end of the quarter 2, right? And that brought an impact and a difference between sell-in and sell-out according to Nielsen, right? The CSD industry declined by mid-single digits, which was pretty much in line with our sellout, okay? The difference comes exactly from the inventory, and that is the consequence of our revenue management decisions in the end of quarter 2.
Guilherme Fleury de Figueiredo Parolari: Now moving to, Isabella, to your question about LAS. I think when we look at LAS, their story, you need to understand of 2 different markets that consolidates into that. One is Bolivia and one is Argentina. Let me start with Bolivia. Bolivia continued to be a market that we are delivering strong results throughout the P&L, which is more than offsetting the impact that we had in Argentina, which in the quarter, if I may say, the demand was still recovering, but not there yet. So there were impacts on inventory level. And also, we couldn't fully implement our revenue management in Argentina in the quarter given the economic situation there. So it's a story of 2 markets. One is Argentina that is tougher and the other one is Bolivia. Overall, it's very important to highlight that we remain very confident about the 2 markets and specifically in Argentina, which has been a more difficult environment. Just to remember that we are operating there since 2000. And we believe that we have the best portfolio of brands that connect with the people, the right initiatives there on revenue management and cost to make it continue to be an important engine for our company going forward.
Operator: Thank you. This concludes the Q&A session. And I would now like to pass the word back to Ambev's team for closing remarks.
Carlos Eduardo Lisboa: Thank you for joining our call today. I would like to leave you with a final message. We are becoming a true ambidextrous company, making progress in all 3 pillars of our strategy, resulting in growth with profitability. Year-to-date, our top line grew 4%, while EBITDA was up 8% and EPS grew 7%. We are taking market intelligence to new levels, better understanding our consumers, their trends and translating them into actionable insights, making an already loved category even stronger. All in all, we are leading where growth is, especially in our main market, Brazil. Thank you, and see you soon.
Operator: Thank you. This concludes today's presentation. You may disconnect, and have a nice day.